Operator: Good morning, ladies and gentlemen, and thank you for standing by. My name is Kelvin, and I will be your conference operator today. At this time, I would like to welcome everyone to the Global Indemnity Group Q3 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Nathaniel DeRose, Senior Vice President and Senior Counsel. Please go ahead.
Nathaniel DeRose: Thank you, operator. Before we begin today, I would like to remind everyone that this conference call may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including, without limitation, beliefs, expectations or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will, in fact, be achieved. Please refer to our annual report on Form 10-K and our other filings with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. We do not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information or future events or otherwise, except as required by law. It is now my pleasure to turn the call over to Mr. Jay Brown, Chief Executive Officer of Global Indemnity.
Joseph Brown: Thank you, Nathaniel. Good morning, and thank you for joining us for the Global Indemnity Third Quarter Results Conference Call. With me today in addition to Nathaniel are Evan Kasowitz, President of Belmont Holdings; Praveen Reddy, President and CEO of Katalyx Holdings; and Brian Riley, our Chief Financial Officer. Following our usual format, I will first share overview comments on my assessments of this quarter's results. I will also offer some thoughts on our current positioning as a company as I conclude my third year as CEO. Then our CFO, Brian Riley, will present the highlights of our financial and operational results. After Brian's remarks, we look forward to your questions. This quarter's results continue the underlying positive insurance operating and investment trends that we have seen over the last several quarters. Our accident year combined ratio of 90.4% -- I'm going to say it twice, 90.4%, generated an underwriting profit of $10.2 million, a very nice increase over the 93.5% we recorded last year. This was our best quarterly accident year combined ratio in the past several years, reflecting underlying strong property results for both catastrophic losses and non-cat losses. Our short duration investment portfolio delivered acceptable net investment income results at $17.9 million, a 9% increase from the prior year period. However, we did see a modest short-term mark-to-market loss this quarter as we have started to shift away from a portfolio consisting substantially of shorter-term fixed income investments. The overall extremely positive insurance and investment results were slightly offset by the planned higher corporate expenses as we continue to invest in our Agency and Insurance Services segment. Brian will provide some details on the areas where corporate expenses are increasing. But as we've noted earlier in the year, these investments are intended to help drive the long-term anticipated growth. Overall, the resulting net income of $12.5 million remains consistent with the results from last year. And underlying operating income increased by 19% against last year, a nice year-over-year change. Moving from the bottom line to the top line for insurance operations. Excluding terminated products, gross premium grew 13% over the third quarter of 2024. As noted in our results release, we again saw very solid, sustainable growth in Vacant Express, Collectibles, Wholesale Commercial and Assumed Reinsurance. Premium rate changes on our direct book are still running in the mid-single digits, which coupled with exposure changes are tracking close to our current expectations for loss trends. That said, it is clear that although the market remains favorable for our current products, competition is definitely increasing. Turning from the quarterly financials. Our efforts under our Project Kaleidoscope team to revamp our technology and data infrastructure, information management and policy issuance systems continues to be on track. Our current plans are to have all of our existing products on the new system architecture in 2026, which has been designed to be compatible with our expanding investments in AI technology. Our progress over the past 3 years has been significant as we initially refocused our business on sectors where we had long-term success and adjusted our staff accordingly to serve that business. This is evident in the steady improvement of our accident results over the 3 years and continued double-digit growth in our ongoing businesses. Having built a strong foundation, we launched a new legal and organizational structure at the beginning of the year. Following the addition of Praveen Reddy in March, we have started to augment our existing underwriting and distribution human capital resources with additional staffing in key underwriting and finance positions. As we have previously discussed, our focus remains on executing our strategy to achieve substantial scale in our Agency and Insurance Services segment, including through organic growth, new product launches, service enhancements and strategic acquisitions. We also recently announced the rebranding of this group to Katalyx. Along these lines, we purchased Sayata last month, a high-tech AI-enabled digital distribution marketplace and agency operations for commercial insurance. We believe this acquisition directly supports our strategy to deliver faster, smarter distribution solutions for specialty insurance and new products. We recognize that it will take a while for the market to properly value GBLI in our new configuration with appropriate metrics for the different segments as they grow at different rates. To address this, we have added external resources at KCSA to ensure our company's story is properly communicated to our investors. I should also note that our Board has made the decision to move our stock listing to the NASDAQ exchange, which is viewed as more appropriate for a company like ours embarking on a new chapter in its history. I firmly believe that our existing core business, coupled with our reorganized structure and strategic efforts will yield substantial value to our owners in the next few years. At this point, I will turn it over to Brian.
Brian Riley: Thank you, Jay. Starting with one of our most important metrics. Book value per share increased from $48.35 at June 30 to $48.88 at September 30. Including dividends paid of $0.35 per share, return to shareholders was 1.8% for the third quarter of 2025. Net income was $12.5 million for the third quarter compared to $12.8 million for that same period last year. And as Jay mentioned, operating income, which excludes after-tax impact of unrealized losses on equity securities, was $15.7 million for the third quarter, an increase of 19% over the same period last year. Key drivers came from both underwriting income and investment income. Underwriting income improved 54% to $10.2 million in the third quarter of '25 compared to $6.6 million for the same period last year. Investment income improved by 9% to $17.9 million in the third quarter of 2025 compared to $16.5 million in the same period last year. This improvement was partially offset by an increase in corporate expenses to $7.8 million in the third quarter compared to $5.9 million for the same period last year, resulting from professional fees related to the build-out of personnel at Katalyx and transaction costs related to the acquisition of Sayata. As Jay mentioned, our corporate expenses will likely remain higher than previous years as we prospect new business opportunities at Katalyx and Belmont. Let me add a little color on underwriting income and investments, starting with underwriting income. Current accident year underwriting income improved by $3.6 million overall, driven by an improvement in the combined ratio of 3.1 points to 90.4%. This consisted of a 4-point improvement on the loss ratio to 50.1%, driven by both cat and non-cat performance. This is partially offset by an increase in the expense ratio of 1.7 points. Expenses remain elevated as we add personnel to build out Katalyx and complete the runoff of our noncore businesses. Turning to premiums. Consolidated gross written premiums increased 9% to $108.4 million in the third quarter of '25 compared to $99.8 million in the same period last year. As Jay mentioned, excluding terminated products, gross written premiums increased 13% to $108.5 million compared to $96.4 million for the same period last year. Let me add a little color to divisional level. Our Wholesale Commercial business, Penn-America, which focuses on Main Street small business grew 10% to $67.9 million compared to $61.9 million in the same period last year and includes average rate increase of 4%. In aggregate, Vacant Express and Collectibles grew 5% to $16.4 million in the third quarter compared to $15.7 million in the same period last year, driven by rate and growth in agency appointments. Our Assumed Reinsurance gross premiums, excluding noncore business, grew 58% to $15.6 million, resulting from 7 new treaties we added during 2024 and 5 new treaties added in 2025, increasing our in-force treaties to 16 at September 30. Specialty Products, excluding the terminated products, remained flat at $8.6 million. As for investments, total investment return was $14.5 million for the third quarter of '25, with an annualized return of 4%, consisting of $17.9 million of investment income and $3.4 million decline in fair value on the portfolio. Investment income on our fixed income portfolio was $15.2 million for the quarter compared to $15.8 million for the same period last year. Current book yield on the fixed income portfolio is 4.5% with a duration of 1.1 years at September 30 compared to December 31, 2024, of 4.4% with a duration of 0.8 years. The average credit quality of the fixed income portfolio remains at AA-. Our outlook for 2025 is very positive. Our underwriting income ex the impact of California wildfires in the first quarter of $21.2 million for the first 9 months of '25 compares to $15.3 million for the same period last year. Our underwriting performance for the fourth quarter of '25 is expected to improve compared to the same period in '24. We continue to expect premium growth of 10% for the full year. Booked reserves remain solidly above our current actuarial indications. We believe the premium pricing is continuing to track with loss inflation. Discretionary capital, which we consider the amount of consolidated equity in excess of that required to maintain the strongest levels with our rating agencies is $273 million at September 30. Lastly, our investment portfolio remains well positioned to invest in longer duration maturities at higher yields. Thank you. We will now take your questions.
Operator: [Operator Instructions]Your first question comes from the line of Ross Haberman of RLH Investments.
Ross Haberman: Nice quarter. Could you go back to the investment losses of $4 million you took in the quarter and sort of give us an explanation of why you decided to take -- realize the loss? And will there be similar type of losses in the next couple of quarters as you say, as you restructure and/or sell some of your bond portfolio?
Brian Riley: Yes. Ross, to be clear, the loss was not realized in the form of a sale. It's a fair value decline on $25 million in equities that we invested in the third quarter. We view it as short term.
Ross Haberman: Okay. And I think you said you're going to restructure investment portfolio. Could you elaborate on that a little bit and the reason why?
Brian Riley: Yes. I mean, so far this year, we've deployed $200 million of our short-term investments into corporates and mortgage-backed securities right now. We're at approximately 40% of the portfolio is short term, and we're evaluating how to invest over the next quarter and/or next 5 quarters, those short-term investments.
Ross Haberman: I'm sorry, just one clarification. What percentage of your investment portfolio is equities as opposed to bonds?
Brian Riley: Equity is about 2%...
Operator: Your next question comes from the line of Tom Kerr of Zacks SCR.
Thomas Kerr: You mentioned competition is increasing. Can you give us any more color on that, where it's happening and why it's happening now?
Joseph Brown: For our current product lines, which are basically focused on small commercial or very small personal collections, et cetera, in our Collectibles business or Vacant Express, we don't see the kind of competition you'd see in larger premium where it starts earlier. We're just beginning to see some of that pressure emerge as we're selling new products to new customers. It's a little bit -- I would say it's a little bit more competitive than last year. I think the important thing is at this point in time, for the business we're writing, we're still achieving the same kind of levels that our current book is priced at. So we're very optimistic about what we have on the books and what we're earning. But we do see that there's going to be pressure as we move into '26 and '27.
Thomas Kerr: Okay. And speaking of 2026, do we still have a handle that it's going to be double-digit premium growth? Or any comment looking forward on that?
Joseph Brown: I am very optimistic it will be at least double digit. It's not going to be triple digit. I'm only kidding. We're sticking with our approach, which we expect our baseline of existing products will continue to grow at 10%. However, we will see an increase in overall growth rates as we start to add new products and new operations in Katalyx.
Thomas Kerr: Got it. Last question. Did you give a discretionary capital number? Sorry if I missed that.
Brian Riley: $273 million.
Thomas Kerr: All right. That's up from [ $260 million ] to $273 million.
Operator: We will now move to our web questions. Your next question comes from Michael O'Brien. One great way to get your message out and show that you believe there is real value in your stock would be able to implement and execute on a buyback program. Any thoughts?
Joseph Brown: Sure. The -- I think we've been pretty consistent for the last 2 or 3 quarters that given the amount of money we're investing to restructure our organization, the reorganization we began at the beginning of the year, we think we're going to have a significant amount of growth going into '26 and '27. As such, the Board has made the decision, at least in the short term, meaning in the next 3, 4, 5 quarters that we're going to deploy our capital into those growth opportunities rather than buy back stock. It's obviously a question that's been asked every quarter, and we have not changed our position going forward.
Operator: There are no further questions at this time. And with that, I will turn the call back over to Nathaniel DeRose for closing remarks. Please go ahead.
Nathaniel DeRose: With that, we thank you all for joining us. We look forward to speaking with you about our year-end results at that time. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. We thank you for participating. You may now disconnect.